Operator: Good morning, ladies and gentlemen, and welcome to the Boralex First Quarter 2025 Financial Results Conference Call. Please note that all lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] Please also note that today's conference is being recorded. For webcast participants, you can also ask questions during the conference, but they will be answered by email after the call. Finally, media representatives are invited to contact Camille Laventure, Senior Advisor, Public Affairs and External Communications at Boralex. Her contact information is provided at the end of the quarterly press release. And I would now like to turn the conference over to Coline Desurmont, Director of Investor Relations for Boralex. Please go ahead.
Coline Desurmont: Thank you, operator. Good morning, everyone. Welcome to Boralex first quarter results conference call. On today's call, Patrick Decostre, our President and Chief Executive Officer, will provide an update of our business. Afterwards, Bruno Guilmette, our Executive Vice President and Chief Financial Officer, will present the financial highlights of the quarter. Then, we will be able to answer your questions. During this call, we will discuss historical as well as forward looking information. When talking about the future, there are a variety of risk factors that have been listed in our different filings, which can materially change our estimated results. These documents are all available for consultation on SEDAR. In our webcast presentation, the discussed results are both on a consolidated and a combined basis. Please note that combined is a non-GAAP financial measure and does not have standardized meaning under IFRS. For more details, see the non-IFRS and other financial measures section in the MD&A. Mr. Decostre will now start with his comments. Please go ahead, Patrick.
Patrick Decostre: Thank you, Collin, and good morning, everyone. It's a pleasure for me to present our results and achievements for the first quarter of 2025. This quarter, we observed significant variability in resource availability impacting our financial results. The strong performance of our wind assets in Canada only partially offset unfavorable wind conditions in France. Total combined production was down 1% in the first quarter compared to 2024. EBITDA on a combined basis was $199 million, which is a decrease of $19 million compared to Q1 2024. This change is due to a lower wind resource in France and anticipated lower power prices in short term contract for wind farm in France than in the same period of 2024. Bruno will cover later in more detail our first quarter financial results. During this first quarter, we continue to make strong progress toward our growth and diversification strategies, particularly with the commissioning of our Limekiln wind farm in Scotland, our first operating asset in the United Kingdom, an important milestone in a very promising market for Boralex. We now have over 3.2 gigawatt of assets in operation in our four key geographies and 660-megawatt of project in construction and ready to build phase with commercial operations planned in 2025 and 2026. Looking ahead, we look forward to present our 2025-2030 strategic plan at our Investor Day, which will be held on June 2017 in Toronto. We're very positive on the future of our business and will continue to be ambitious in our growth and diversification strategies. Regarding markets conditions, the demand for renewable energy in our targeted markets remains high, driven by different factors, such as favorable government incentives, population growth, industrial and digital expansion, creating new opportunities for our development activities. In Canada, following their recent victory in the federal election, the Liberal Party led by Mark Carney has committed to maintain the clean energy investment tax credit and doubling the indigenous loan guarantee program to $10 billion. Consequently, Quebec and Ontario remain strong potential growth markets for Boralex. Our local expertise and good relationships with First Nations and communities provide a solid foundation for preparing upcoming bids in both geographies. In the United States, ongoing uncertainty surrounding potential policy changes and the implementation of tariff has led to near-term upwards pressure and economic volatility in the first quarter of 2025. Still, power demand in the United States remains strong, driven by growth in U.S. manufacturing and the expansion of data centers. It is therefore particularly important to stay focused on our long-term strategy of growth in the U.S. market as we believe that renewable energy projects, particularly solar and onshore wind projects, are well positioned to meet this rising demand. In New York State, the government will have to rely more heavily on onshore renewable energy to meet its climate goals following a federal order to stop the development of offshore wind facilities. In this market, we're still waiting for the final results of the NYSERDA 2024 request for proposals expected to be announced in the coming weeks. While I have already highlighted the operation of our Limekiln wind farm, I would like to take this opportunity to thank the Boralex UK team for their hard work and efforts in bringing this project to completion. The successful commissioning of Limekiln is also due to the valuable consultation work with local communities carried out by our team, who has been present on the ground since the first stages of the project. The operation of Limekiln enables us to strengthen our strategic position in the UK, where we have strong growth ambitions for the coming years. We are now preparing ourselves to submit bids in the next AR7 RFP expected this summer. During the first quarter, we also continued to progress with construction of our project in Canada. The commissioning of our Apuiat project is expected this summer. Nearly all of the 34 turbines are now installed despite the later than anticipated start of operation and cost overruns, the internal rate of return of the project remains in line with our targeted range. In Ontario, the construction of our two battery storage projects, Hagersville and Tilbury, are advancing as planned with commissioning scheduled by the end of this year 2025. Our Des Neiges Sud project wind farm is also progressing on schedule with commissioning planned for the end of ‘26 or beginning of ‘27. In France, we also have three projects under construction, all located in the region of the France. Projects Fontaine-Lès-Boulans and Febvin-Palfart totaling 29 megawatts will start operating in the coming months, while Les Cent Mencaudées project just entered the construction phase with the commissioning scheduled next year. With these projects, Boralex strengthened is positioned in this historically significant region where the Company operates more than 500-megawatt. I will now rapidly review the main variances in our portfolio of projects under development and growth path. The increase in the pipeline was mainly due to the addition of wind and solar projects in Europe and North America in early stage. The increase in capacity of wind and solar project in Europe and North America in early and mid-stage. And in total, our pipeline of early, mid and advanced stage projects now consists of project totaling nearly 7.1 gigawatt of wind, solar and storage projects. In the first quarter, the gross pass represents a capacity of 887 megawatt, a decrease of 104 megawatt compared to the previous quarter, mainly explained by the transition to operational phase of the Limekiln wind farm. This completes my part. I will now let Bruno cover the financial portion in more detail, and we'll be back later for the question period. Bruno?
Bruno Guilmette: Thank you, Patrick. Good morning, everyone. This quarter, total combined production was down 1% compared to the same quarter last year and 11% lower than anticipated due to unfavorable weather conditions in France. Our combined EBITDA amounted to $199 million, down $19 million and consolidated AFFO amounted to $74 million down only $4 million compared to the first quarter of 2024. I will now provide a more detailed overview of our quarterly financial results, starting with production. In North America, total combined production for the quarter was 8% higher than the same quarter last year and in line with anticipated production. Production from wind assets in North America was 15% higher compared to the same quarter last year and 6% higher than anticipated for comparable assets. Production for the hydro sector was 29% lower than last year and 13% lower than anticipated, mainly due to unfavorable weather conditions in the United States. Production from solar assets in the U.S. was 17% higher than the same quarter last year and 12% higher than anticipated. In Europe, total production was 16% lower compared to the same quarter last year and 28% lower than anticipated, attributable to unfavorable wind conditions in France. As mentioned by Patrick, the good performance of wind assets in North America only partially offset the lower contribution from wind assets in Europe. The decrease in production along with the impact of less favorable power prices in our short-term contracts in France affected our revenues and EBITDA. AFFO was impacted by the decrease in EBITDA, partially offset by lower distributions paid to non-controlling shareholders in Europe compared to the same quarter last year and higher distributions received from our joint ventures. This quarter, our balance sheet remained strong with $504 million in available cash resources and authorized financing and $388 million in cash and cash equivalent as of March 31. Total debt increased to $41 million with project debt representing 89%. During the first quarter, our finance team successfully extended the term of the Company's revolving credit facility until February 2030, improving our financial flexibility to continue to support our growth. In April, the letter of credit facility guaranteed by EDC was also increased from $350 million to $470 million until April 2027. Lastly, for this quarter, we have continued to make good progress on our CSR targets. For more information on our CSR strategy, I invite you to read our 2024 CSR report released in February. In conclusion, we continue to develop and execute our projects in attractive markets, maintaining a solid balance sheet and good financial flexibility. We are focused on delivering value to our shareholders as we optimize all aspects of our business and capitalize on our project pipeline to produce cost competitive renewable energy at rates of return in line with our targeted returns. Thank you for your attention. We are now ready to take your questions.
Operator: Thank you [Operator Instructions] We are now going to proceed with our first question. The question comes from the line of Rupert Merer from National Bank. Please ask your question.
Rupert Merer: If I can start with your construction activities, you report some higher costs largely at Apuiat. Can you talk to us about what drove the cost increase there? And how are you feeling about the costs on the rest of your pipeline?
Patrick Decostre: I'm sorry, Rupert, we missed the first part of your question. Could you please repeat the question?
Rupert Merer: Yes. You saw some higher costs at Apuiat in this quarter. I think the costs are mostly in there. But can you talk to us about what drove the cost increases there and how you feel about the cost on the rest of your construction pipeline?
Patrick Decostre: Yes. Good morning, Rupert. It's Patrick. Essentially, the costs have been driven by difficulty with the BOP's supplier contractor and which postponed the project during the winter. So, we had higher than expected burn rate with cranes on-site during the winter. And we have had a very tough winter in Quebec this year, specifically with deep snow and freezing rain. So, that's one point. The second point is, on the commissioning part -- the finalizing of the what we call the mechanical completion on the site and commissioning, we are experiencing some more difficulty or we have had been experiencing some more difficulty. No, it's more online. We have put a new kind of framework with BoreA, which is controlling the contractor on-site for us to be sure that the right activities are done to finalize this MCC mechanical completion in time. And now, there is nine mechanical completion that have been done. End of next week should be around 14. So, we are progressing, but -- and looking to that. So, this is the main driver of the cost. On the other project, the cost side on the storage and project, Hagersville and Tilbury, is going very well. This is -- these projects are well advanced. Hagersville, everything is on-site. All the containers and batteries are already on-site. On Tilbury, they are in Canada, but they are we are finalizing some work on foundations, but no expectation of cost increase. So, this is a good project. And Des Neiges Sud, we are working to maintain the cost where they should be, and we're again working with the same contractor in Quebec, BoreA, that has built many sites in Quebec and specifically Sainte-Anne-de-Beaupré in the past. So, they know the site. So that's the situation. I think, as I mentioned, I think the last quarter, we restart the Quebec wind industry construction and with a project on the North Coast that creates some difficulty, but we have learned a lot and we have optimized our -- the way we're working to take the opportunity of the learnings.
Rupert Merer: And secondly, we saw some legislation in Texas SB-715 that's proposing backup generation for all renewable projects. How do you see that playing out? And if it does make its way into law, what would be your contingency plans for dealing with that?
Bruno Guilmette: Rupert, it's Bruno. So, yes, we've recently seen this proposed -- this new proposal in the budget of the government and the industry has started making representations around this to certainly lower the impact. It would start in 2027 and then escalate on the…
Patrick Decostre: You're speaking about TSP in Quebec, but I think Rupert was asking about the Texas backup on Train. Okay. No. We will -- the team is looking to this point, but we have to see what will be the impact on our project and come back to you.
Rupert Merer: Okay. I know it's early and may not get anywhere as it stands in any case, but I thought I'd check-in. I'll leave it there then. Thank you.
Patrick Decostre: Thank you.
Operator: We are now going to proceed with our next question. And the question comes from the line of Mark Jarvi from CIBC. Please ask your question.
Mark Jarvi: Just in terms of some of the advanced stage projects, there was a notice in the MD&A about some discontinuations. Can you just give more color in terms of what projects those are and what's forcing those projects to essentially discontinue at this point?
Patrick Decostre: On the early stage?
Bruno Guilmette: The advanced stage, you're moving or any…
Mark Jarvi: Yes, the advanced stage projects, yes. I think there was 220 megawatts roughly of advanced stage projects that were discontinued.
Patrick Decostre: Yes, there is some of these projects where project that -- the delay to obtain authorization was too long in France. Then we had difficulty on the lease, finalizing, this is [indiscernible], I think, on the lease on one of this the project. And then, there was a difficulty and a mismatch between the size of the available turbine and the size of the permitted turbine. And so, we have to, say, stop the project because it was not meeting our investment criteria.
Mark Jarvi: And then maybe, Patrick, you said you're still hopeful that NYSERDA comes out and awards these projects that were bid last year. Obviously, a bit more positive news on the tariffs this week, but just the House Bill that came through earlier this week or the proposal, some maybe higher criteria on foreign content, in service dates, sunsetting a bit quicker, just viability of the solar projects in New York and how do you think NYSERDA handle some of these changing criteria? Will there be sort of clauses and mechanisms to make developers whole, if there's any changes that are negative for companies like yourselves or your peers?
Patrick Decostre: Yes, it's a good point. Essentially, we are, as I mentioned, waiting for the final announcement from NYSERDA. The project that we bid, and this will definitely depend on when NYSERDA will give or not a green light, but we are in line to be in service before the due date of when it will start to decrease in 2029, the ITC in the U.S. So normally, we should be safe, if NYSERDA is not coming in with a normal delay. So, we have also taken some action to safe harbor part of the equipment to be sure that if there is any change, we would be protected. And last but not least, the connection, we have decided to put the necessary LC, which are not at risk, but which we're guaranteeing our position in the queue. So, we're working on this and we're working on the procurement of the solar panel within the U.S. and also, we're working on the balance of system contractor. We are presently in RFP for this part of the job to be sure that, if should NYSERDA come late and award us, we will be ready to start early. So, that's how we are playing with that. What I think we should take into account strategically is and I feel bad for them, but the situation of Empire Wind will affect the generation in New York and the supply. And so, they will have to rely to some other project because the demand is growing there. So certainly, we will be well positioned for that.
Mark Jarvi: Would the contract structure have some sort of pass-through mechanism, just depending on what finally comes in terms of tariffs or any sort of higher costs on meeting domestic content requirements?
Patrick Decostre: There is no specific mechanism in the contract that we have seen at the RFP time. That is the only thing I can tell you today. There was no specific mechanism in the contract.
Operator: We are now going to proceed with our next question. The next question has come from the line of Nelson Ng from RBC Capital Markets. Please ask your question.
Nelson Ng: Just a quick follow-up on Mark's question. So, Patrick, you mentioned that the solar projects in New York, if selected, would be in service before 2029. And you also have the option of safe harboring. So, based on your initial rate of the latest legislation, could you essentially just put a lot of deposits down prior to 2029 and safe harbor for the next, call it, four years? Is that how you see it? Is that what you meant by safe harbor?
Patrick Decostre: I'm specifically saying that for the project that we bid in the 2024 RFP and that we think are very competitive project. We have taken some risk of safe harboring essentially equipment transformer that are equipment that are needed in the world of power in the U.S. So, we're not taking a big risk because if there is any big difficulty, we will have someone who will be ready to buy this transformer should we have a difficulty. So, that's the point practically and concretely on this project. On other projects in the future that could be bid in a potential RFP of NYSERDA, it's very difficult to comment today because it will really depend of NYSERDA's position on these decrease of the tax credit in the U.S., if then should this legislation go ahead. So, there is a lot of if in my point and a lot of conditional, but just to say we're very cautious and prudent on that. But practically, again, if NYSERDA is not too long to award project, we could have competitive project safe and profitable in New York.
Nelson Ng: I see that.
Bruno Guilmette: To add to this point, Nelson, is about NYSERDA. I think we are told that in old day an announcement is expected shortly. So, it's like imminent, so we never know. It's not in our control. So, let's keep this in mind when we are taking about safe harboring.
Nelson Ng: And then, next question that just relates to capital allocation. I noticed that you bought back a little bit of stock, I think 24,000 shares in Q2. Can you just talk about your intentions on buybacks going forward? Like was that purchase mainly just opportunistic due to the market volatility or should we expect buybacks to continue?
Bruno Guilmette: Thank you, Nelson. The program is in place. We're actively looking at the market changes. And as you've seen, we've bought back some shares in April, and the program stays in place, and we're going to remain active as long as we think our stock price is not at the right level. Thinking about at the same time that, as I mentioned last time, our capital allocation is still focused mainly on our growth projects and financing of that. So, I think we've sent a strong signal that we believe our stock price is underpriced. And we'll continue to buy back opportunistically, but also in organized way and invest in our growth. We see also a lot of interest right now from many investors. We've had very constructive discussion with a lot of people in the past few weeks. So, there's definitely strong appetite for Boralex right now from different regions, yes.
Nelson Ng: And then just one last question. I'm not sure whether you'll have an update or not, but I think last quarter, you talked about the interest in your hydro assets and the sales process. Do you have any updates in terms of expected timing?
Bruno Guilmette: Process is proceeding with high level of interest. That's all we can say at this time.
Operator: We are now going to proceed with our next question. And the next question is coming from the line of Robert Hope from Scotiabank. Please ask your question.
Robert Hope: We recently saw Hydro-Quebec relatively do a good pivot to solar for the, I guess, up to 2035. How do you think about your capabilities? And how do you pivot to capture that opportunity?
Patrick Decostre: Yes. Good morning, Rob. I'm not convinced that for us, it would be a good allocation of development capital to develop solar project in Quebec due to the resource, the different constraint, and more the alternative of lots of wind potential in Quebec that will certainly bring lower price in at the end for Hydro-Quebec. So, I think this is my view of the Quebec's RFP. There will certainly be interest from other players. It's a little bit different in Southern Ontario, where the resource is different, the constraints are different also, and the potential alternative in wind are definitely lower. So, I think Ontario and New York are the good place and France are the good place for solar for us.
Robert Hope: And then maybe just on the battery strategy moving forward. How do you think about where the best opportunities are in the various geographies and how does kind of the U.S. tariffs layer onto that?
Bruno Guilmette: The tariff?
Robert Hope: The battery.
Patrick Decostre: Yes, battery, essentially, we have significant capital deployment presently with Hagersville and Tilbury. It was very well, very un-risked contract because it's, as you remember, it's 22-year contract covering 70% of the revenue. We have been awarded a third contract, the same type of 125 megawatt with the Oxford project. The FID, the final investment decision has not yet been taken, but we're making progress on finalizing the work around this, and we should be ready to take this decision in the next quarters. And so that's one thing. So, lots of opportunity in Ontario specifically. And the other market where we're seeing opportunity on a somewhere on a smaller scale for each project, but on a very big scale as a market is the UK. The UK is an island. The Great Britain is an island, but it's also electrically an island. So, there is a lot of need of frequency response mechanism and load management. And so, there is lots of opportunity. The type of contracts are different. So, we have not yet taken any final investment decision, but this is also something interesting because the size of the market today, I think there is 5 gigawatt installed capacity in the UK already in storage, and they're planning in the next five years to go to 25 gigawatts. So, lots of opportunity in the UK. So, no, we have to be sure that the business plan is, the risk reward of the business plan there will be acceptable for Boralex.
Bruno Guilmette: And I would add, in Canada, the additional benefit is the ITC, which we expect will remain in place. Just also that we are preparing ourselves for the upcoming bids in Ontario. So, there's -- in December, there's a capacity bid, there's two bids coming like one for -- sorry, do you want to…
Patrick Decostre: Yes, one for energy and one for storage. And we're preparing for both different project that is called LT-2.
Operator: We are now going to proceed with our next question. And the question comes from the line of Benjamin Pham from BMO. Please ask your question.
Benjamin Pham: You mentioned some of the cost overruns that you're experiencing at Apuiat. And I'm wondering, we're seeing some of these Ontario storage projects tracking perhaps below budget costs. Are you seeing that at all in your projects or is that already built into your initial cost estimates?
Bruno Guilmette: Are you, Ben, referring to other projects showing lower CapEx and the industry in general? Is that what you're referring to?
Benjamin Pham: Yes, I don't like to talk about a company specifically, but we saw like Northland's tornado project come in $100 million below budget when they commissioned it. So, are you seeing any similar trends in your storage projects in Ontario? Or you've already factored that in already, I'll just track into --
Patrick Decostre: Yes, okay. That's clear. Thank you, Ben. What is clear is there is -- it's a different situation. If you look with some high-level look, the cost of battery and the technology are improving quickly and the costs are going down. So, that's one thing that we experienced in the past a lot in wind. We're still experiencing that in solar. So, battery and solar are somewhere similar. And so, the point is and the cost of lithium has also gone down between the RFP assumptions and the procurement on our side. So, there is improvement on this. We have taken our investment decision a little bit after Oneida. I think one year after them, we will be delayed -- at the end, the delay would be six months because we have taken some risk on ordering a transformer and circuit breaker earlier. But to come back to your point, I think if the technology is continuing to improve and the way battery are produced, and if there is not too much reassuring pressure, the cost will continue to go down and there would be room for improvement. I'm not sure that it's still possible in wind today because of the size of the turbine and the constraint of transportation of plates.
Benjamin Pham: Could you also talk about the sale process with the hydro assets, what you've learned so far, at which stage in the process and the timeline going forward?
Patrick Decostre: Ben, as I mentioned, we're going to the process right now, and we have strong level of interest. We're not sharing more information due to the competitive process.
Benjamin Pham: And then, maybe just the last one. In Canada, specifically, you mentioned Quebec and Ontario. I don't think you mentioned BC at all. There's been some positive news on permitting and focus on clean energy and all that that could set well for renewable energy. Is that a market that you're thinking about a bit more these days? Or still Ontario and Quebec is the focus?
Patrick Decostre: Yes, I would say Ontario and Quebec are the focus, but we have some development in BC, but it's not advanced like in Ontario and Quebec.
Operator: We are now going to proceed with our next question. The next question is coming from the line of Sean Steuart from TD Cowen. Please ask your question.
Sean Steuart: Just one follow-up question. The 2.2-gigawatt advanced stage pipeline, I think we have a pretty good sense of where you stand with respect to New York. And I guess my question is with respect to the UK piece of this, can you give us a sense of what you're expecting to submit to the AR-7 process and timeline for advancing that? And if you can give us a sense of what the return differential spread looks like between these advanced stage opportunities moving them up into the ready to build segment of your development pipeline?
Patrick Decostre: Yes. On the return side, I would say that we have an investment guide, which is precise on the level of return we are asking depending on the type of contract, the duration of contract, the technology and the jurisdiction where we're developing. So, this is not changing. This has been increased. As you remember, we are seeing between 10% to 12%, and I will not say in which jurisdiction and which technology it's standing, in which jurisdiction and which technology it's 12 or over. But definitely, what I can say is that in the U.K, the good news is we will have we're working on a handful of projects to be bid in the next AR-7. We don't know yet the budget of the AR-7 and exactly what will be the exact rules. But if we copy paste what was AR-6, we will have a chance to bid a handful of projects. And when we have different project, as we are doing in France for the last many years and we have done in New York, we have a strategy of some must win projects, some nice to win projects and some very nice to win projects with a kind of ladder of the different return that we're putting there. And we're taking into account the fact that some projects are on the critical path to be built or some project have room due to grid connection, for example, to be rebid the year after. So, we're a little bit more aggressive on the return expectations there. So, that's a lot of the strategy we are taking on this project.
Operator: We are now going to proceed with our next question. And the next question comes from the line of Nicola Boychuk from Cormark Securities. Please ask your question.
Nichola Boychuk: On the supply chain, can you comment at all on the availability and the timelines that your vendors are providing you as you're having these conversations to prepurchase solar panels and to prepare for that for turbines? Are you seeing availability costs increase materially?
Patrick Decostre: Essentially, what is I think on the main equipment, battery, wind turbine and solar panel, it's not there that there is the more pressure presently in the market. Where we are seeing difficulty, it's more transformer, circuit breaker, bushings and all those things, which are due to lots of investment all over the world in HV or very high HV transmission system. So, that's where we are really looking and working with suppliers. Sometimes the purchasing team or the execution team is coming. So, we have a big alert there and they solve it in one week. So, we have many alerts during the last month, but so far touching wood we have sold all of them. So that's where is the constraint today.
Nichola Boychuk: And then on the main components, so like we'll use solar panels as an example, are you seeing an increased demand for domestic or at least North American or Western European produced material versus something coming out of Southeast Asia?
Patrick Decostre: Yes, we're seeing this trend in the U.S. definitely, and we have worked specifically for the NYSERDA project. We are working for with a local domestic supply chain. So that is something. On battery, there was -- I had a meeting some weeks ago with a big Chinese company, but who is specifically investing in U.S. to produce batteries there at a very competitive cost. So, I think there is the things are moving in this direction. And I'm not convinced it will move definitely to very, very higher cost. There is the time for the market to adjust, but yes, it's moving. The situation in Europe is completely different because there are there is less limitation to Chinese goods today in Europe. So, the price of solar panels, for example, are almost one third of what it is in the U.S. per watt, which is a little bit crazy situation, but that is the situation.
Camille Laventure: Thank you. We have no further questions on the phone line at the moment. So, I'll hand back to you for any webcast questions, if you may. Thank you.
Coline Desurmont: Thanks, everyone, for your attention. As part of our strategic plan presentation, a site visit is scheduled on May 16 in Hagersville, Ontario, where Boralex is pursuing the construction of a 300-megawatt battery storage project. The Investor Day will take place on May 17 at Lumi's Toronto offices and will also be streamed live for remote participants. An official invitation will be distributed via the press wire tomorrow. Should you need more information on this event, please contact me or Stephane Milot. Our next conference call to announce second quarter results will be on Friday, August 8, 2025, at 11 a.m. Have a nice day, everyone.
Operator: This concludes today's conference call. Thank you all for participating. You may now disconnect your lines. Thank you.